Operator: Good morning and welcome to the GeoPark Limited Conference Call following the results announcement for the Second Quarter ended June 30, 2017. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. If you do not have a copy of the press release please call Sard Verbinnen & Co. in New York at +1-212-687-8080 and we will have one sent to you. Alternatively you may obtain a copy of the release at the investor support section on the company's corporate website at www.geo-park.com. A replay of today's call may be accessed through this webcast in the investor support section of GeoPark corporate website. Before we continue please note that certain statements contained in the results press release and on this conference call are forward-looking statements rather than historical facts and are subject to risks and uncertainties that could cause actual results to differ materially from those described. With respect to such forward-looking statements the company seeks protection afforded by the Private Security Litigation Reform Act of 1995. These risks include a variety of factors including competitive development and risk factors listed from time to time in the company's SEC reports and public releases. Those risks are intended to identify certain principal factors that could cause actual results to differ materially from those described in the forward-looking statements but are not intended to represent a complete list of the company's business. All financial figures included herein are prepared in accordance with the IFRS and are stated in U.S. dollars unless otherwise noted. Reserve figures correspond to PRMS standard. On the call today from GeoPark is James F. Park, Chief Executive Officer; Augusto Zubillaga, Chief Operating Officer; Andres Ocampo, Chief Financial Officer; Stacy Steimel, Shareholder Value Director; and Dolores Santamarina, Investor Manager. And now I will turn the call over to Mr. James Park. Mr. Park you may begin.
James Park: Thank you and welcome everyone. We are joining this morning from New York City to report on our second quarter results. Our team continues to deliver operational success on the ground that continues to generate financial success. Our large self-funding asset portfolio continues to produce results and drive growth. Colombia is leading us forward with a low cost, proven, big scale still expanding oil field. Argentina just had a new oil field discovery, bringing us back to this promising region. Brazil and Chile provide us stability and new opportunities, and Peru is positioning as our next big boost. We are excited about what is coming with an active drilling program weighted on appraisal to build value and production. GeoPark has the team, the assets, the capital, and the approach to grow and prosper for the long-term in the oil markets of today, all underpinned by a 15-year operating platform across Latin America giving us a unique competitive position in a most dynamic and promising hydrocarbon region today. And now to Zubi.
Augusto Zubillaga: Thank you, Jim. We proved again last quarter our ability to find oil and gas and our proficiency as operators, as oil and gas finders. In Argentina, we discovered a new oil field in the Neuquen Basin. Rio Grande Oeste 1 exploration well provides new reserves, new production , and new cash flow base from Argentina and de-risks other oil prospects on the block. In Colombia we continued unlocking value from Llanos 34 Block with Jacamar oil field discovery and through development and appraisal wells on the Jacana oil field. We drilled Curucucu one exploration well from the Jacamar path, which is our longest deviated well in the Llanos 34 Block, more than 9,500 feet. This well has been cased, completed, and will be tested in the next weeks. Now as operators, in the second quarter, our consolidated oil and gas production increased by 24% to a record of more than 26,000 barrels per day with Colombian oil production representing almost 21,000 barrels per day. Last week, we celebrated the milestone of 40 million gross barrels produced in Colombia in less than five years. Today, our gross operated production exceeded 51,000 barrels per day. So what’s next, in the third quarter, we will have four rigs working to drill 12 to 13 wells, including six exploration, five appraisal, and two development wells. Our priority is to continue expanding, building, and developing our bedrock Llanos 34 asset in Colombia. In Argentina, exploration will be focused on the Sierra del Nevado and Puelen blocks in the Neuquen Basin targeting unrisked net exploration resources to 20 million to 35 million barrels. For production, we are on track to hit our target of 30,000 barrels by year-end. So now Andres.
Andres Ocampo: Thank you, Zubi. During the second quarter of this year and following our significant production growth, our EBITDA increased by 81% to $37 million, which means an EBITDA of $122 million during the last 12 months. Our operating cash flow for the quarter of $34 million fully funded our CapEx program, serviced our financial debt, and increased our cash position, which means that for every dollar invested this quarter, we generated $1.3 of operating cash flow on a consolidated basis. And in Colombia, only we generated almost $2 for every dollar invested. Our increasing cash flow generation continued to push down our leverage ratios with gross debt to EBITDA now going from 3.2 times down to 2.8 times and down to 2.2 times on a net debt basis. It has also increased our interest coverage ratio to 4.1 times well above the 2020 bond incurrence test covenants of 3.5 times. During the second quarter of 2017, we have recorded almost $6 million of profits from our hedges in place, from which $2 million represents realized cash gains. We currently have different hedging contracts that cover approximately 40% to 50% of our oil production until the end of the year giving us a secure minimum price flow range of $50 to $54 per barrel. Liquidity continued to improve with cash and credit facilities of approximately $200 million, of which $77 million are cash in hand, $7 million more compared to March 2017. We have also continue to broaden our audience in the market and our stock trading volume has increased to approximately $1 million per day during the last 12 months and over $1.7 million per day during the last three months. We continue moving full speed ahead on our self-funded 2017 work program targeting 20% to 25% production growth and look forward to initiating soon our 2018 capital allocation process to refine our high impact work program and plan for the next year. Thank you and now we invite any questions for our team and some additional insights.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Andre Hachem of Itau.
Andre Hachem: Hello guys. Thanks for the question. My first question is relating to future outlook on CapEx. Especially in regard to the 14th bidding round in Brazil, do you guys plan to participate in the round? And also to Petrobras divestment program, what is your outlook, are you guys looking for assets -- more assets in Brazil? My second question is in regards to Argentina, the recent discovery. Could you guys please comment a little bit on what is the agreement with Wintershall? What would be the fund -- what will be the conditions for them to take over the operationship of the field? And also in regards to the future CapEx in Argentina, should we start seeing a more significant investment in Argentina in the upcoming years or should it still be in around the same level that we're seeing this year. Thank you.
Andres Ocampo: Hi. Good morning, Andre and thank you for your question. So first, with respect to incoming CapEx, we're continuing -- total CapEx for the year is going to be around $80 million to $90 million, and we have already invested around $50 million so far. So we are little bit around halfway through that process. With respect to your question about Brazil, we have done -- we have drilled a well at the beginning of the year in Brazil. We may have one more well at the end of the year, still not confirmed yet, but we may add an additional well, it could be $1 million investment, not more than that. And we continue working on trying to grab more acreage in Brazil, same as we are doing throughout the whole region. And we are going through there are two processes, effectively one is obviously divestments from Petrobras, which today I would say standing by or in a standby situation. They are not moving ahead potential divestments at this point, and we are monitoring -- there is an incoming bidding round in Brazil for onshore exploration acreage. We are going to be evaluating assets in that round same as we did since round, I think it was round 10. So since the last four bidding rounds connected by ANP in Brazil, we expect to look at the information and evaluate any good assets, then we may be taking some more. Your question about Argentina, we're very excited about this new discovery in the Neuquen Basin, we just tested the well, this was the first well, so it's good that we were able to confirm that this is a discovery. We own 50% and we are currently operating, part of the agreement is that Wintershall has the right to take the operatorship after the exploration phase, and we are talking with them on when and how and if this is going to happen, in the near future. And then with respect to future development CapEx, yes, we expect to invest some more development CapEx into this field. But that is something, the development program is going to be refined once we conduct a long-term test on the well, which is actually starting right now. So, once we see the performance of the well and we have more, better information, we will define jointly with our partner what the development program is going is to be. So, that is something that we are going to know, I would say hopefully before the end of the year or something for next year plan.
Andre Hachem: Okay, thank you. Congratulations on the results and on the discovery.
Andres Ocampo: Thanks very much, Andre.
Operator: Our next question comes from the line of Gavin Wylie of Scotiabank.
Gavin Wylie: Hey, guys. Just a couple of questions here. First one just on Jacana 9, I wanted to see, there is a little bit more detail in you guys’ press release just on the result there. And wondering what do you see is causing the compartmentalization potentially if that's the interpretation that seems to be the lead conclusion. And second is, what are you expecting from those upper queue [ph] zones in terms of maybe flow rates or something like that that can provide a bit of guidance? The third aspect of that question is just the implications going forward, on the 2P and 3P reserves, if this proves to be compartmentalized or whatever the case is, what could be the impact there? And then the fourth question that I had for you was on Jacana 8, was a great well that you guys tested in the Mirador that's previously un-booked from a reserve standpoint and there wasn't a lot of discussion on that, and I'm just wondering if there is more that you could say on what that well is currently producing? And the second part to that one would be is there additional follow-up locations to that? Have you seen on other wells in the Jacana structure, Mirador potential that you could potentially recomplete or go back to and drill it at some point?
Augusto Zubillaga: Wow, hi Gavin, how are you?
Gavin Wylie: Good, thank you. Sorry for all the questions.
Augusto Zubillaga: Okay. Let’s, at the beginning, put in context all the Llanos 34 Blocks. Our 2P reserve Llanos 34 Block in a gross reserve basin is 150 million barrels, the 2P Tigana, Jacana gross reserve is almost 130 million barrels. So regarding our work program in 2017, our objective was to define the limit to boundaries of Tigana, Jacana fields. So, so far we have drilled 8 wells in this year, and we have to drill 8 wells between appraisal and development wells. So specifically going to the Jacana -- so what we learned that in Tigana and Jacana, we have different compartments and also different oiling tools. So going to the Jacana 9 well, we drilled the Jacana 9 we log the well we have like a transition so we didn’t defined in that well the oil water contact. We have different in sourcing in Guadalupe formation, we prefer the lower zone and we are producing 90% of water cut there. So now we cannot define that the oil water contact is in this well, but we can say that this is very near the Jacana 9. So that doesn’t mix into Jacana 9 and in the same path we also drilled Jacana 10, which is producing 1,000 barrel of oil per day in the same formation, which is Guadalupe. We also have coming back to the Jacana 9, we prefer the lower zone and we have to open also two zones in the upper part of the Guadalupe. So we will understand more what’s going in the Jacana 9.
Gavin Wylie: And just a follow-up on that, just for clarity, the Jacana 9 was that drilled outside of your 2P or is that within the 2P?
Andres Ocampo: That was the well that was -- hi Gavin, Andres here, that was a well within the 3P, I mean as you have seen on our map it’s within the 3P area of Jacana. It’s okay Gavin.
Gavin Wylie: Yes that’s fine. And that just on Jacana 8 just wanted to get clarity on that one just in terms of what you are currently producing from Jacana 8 and then if there is additional follow-up Mirador locations?
Augusto Zubillaga: Okay the Jacana 8 was targeted just for Mirador formation. And we also found Guadalupe and Mirador. We test Guadalupe with oil the thing is very near, so we have -- it was very near the Jacana 2. So we have the same reservoir there. And regarding Mirador it is producing right now 600 barrel of oil per day. So from Mirador formation well and no water. And there are other wells that have Mirador potential within the Jacana field, the number of wells that cross Mirador with good logging information. Jacana 8 is the only one that is producing for Mirador, but there are couple of more wells that were drilled through Mirador and have good logging information on Mirador potential.
Gavin Wylie: Yes, thanks.
Operator: Our next question comes from the Felipe Santos of JP Morgan.
Felipe Santos: Hi, Jim, good morning everyone just some few questions. First if the reducing costs of last quarter, so if you just go over the breakeven that you have in Colombia right now and how you see this evolving going forward? Second, I notice that now the company has much more has increased the hedges around $50 [ph] brand. This would guarantee the company’s campaign and how -- which level of oil or what would be needed for the company so they move to drill the wells around the Guaco 1 well or the area contingent there? Second if any time you consider that this should be reviewing or releasing the reserves update on the company. And sorry for the many questions, and finally what is the company target in terms of cash flow for this year and the next? And any talks to be around now on the debt renegotiation or shouldn’t reducing the debt of the company anticipate of thepayment et cetera. Thank you.
Andres Ocampo: Thank you Felipe, and good morning. Let me see if we can cover all your questions, so the first one is about the breakeven, our breakevens in Colombia. So we've been pushing down our cost significantly over the last two years, we've been driving our costs down significantly today. This quarter our OpEx was slightly higher because of some temporary or one-time issues that we explained in our release. But generally we're seeing Colombia OpEx around $5 per barrel. We have $14 to $15 transportation. So that's effectively it that’s just is around this block is cash flow generates a lot of cash in a $25 to $30 oil price. So breakevens remain low particularly in Colombia. In terms of your question about the hedges, we continue to put hedges in place, looking forward between 6 to 12 months. Our strategy is to have around 40% to 60% of our oil volumes covered with minimum prices that are above the numbers the prices that we use for our budgets. So typically we try to put flows above $50 brand even though we use $45 to $50 for our budget. And so we just put -- we just closed the hedge recently that cover 12,000 barrels until the end of the year, which is around half of our production -- oil production for the remainder of the year. Then you mentioned Guaco, Guaco is going to be -- likely going to be drilled or we hope is going to be a prospect for next year, but that is something that is going to defined in our capital allocation, discussions are actually starting in the next few weeks. So and then your question about reserves, can you repeat that question I wasn't clear on what your question was.
Felipe Santos: Yes, if you intend to have a formal process of announcing reserves in every -- beginning of each year right. Because in considering the results of the drilling companies so far this year, the wells in the Jacana wells, the Tigana wells are you considering to anticipate given the market an update in terms of reserves or contingent resources discovered so far?
Andres Ocampo: Yes. So far we keep the same plan of certifying reserves every December. And announcing that probably in very early February, that's how we typically do it. No, we don't have any plans to anticipate a reserve certification before year-end. And then your last question was about the cash flow and debt. So as we mentioned, we are last 12 months EBITDA we generated over $120 million. We are on track to continue growing hopefully our operating cash flow generation. With respect to our debt, we have our bond that matures in 2020 is a bullet in early 2020. We're seeing that the market right now the bond market is very -- is in a positive momentum. We're seeing companies issuing debt at fairly low cost. So we're opportunistically looking at the market and see if there is a good opportunity for us to term out our existing debt at an attractive price. But if not this is something that we're going to be working on in 2018.
Felipe Santos: Okay. Just one, sorry for the many questions but the one point, just going back to one point. Is there any oil level or anything that would be needed to trigger the drilling of Guaco or anticipating the drilling of Guaco for this year instead of the next?
Andres Ocampo: It's not related to -- I wouldn't say it's related to oil prices. Guaco is a prospect that is an attractive prospect in current oil prices and in even lower oil prices. We -- it was part of the campaign this year. And after the results of Sinsonte, we decided to postpone the drilling of Guaco until we understand better the play in that area of the block. That so it's a more a technical decision to postpone to next year rather than economical decision.
Felipe Santos: Okay. Got it, perfect. Thanks so much.
Operator: Our next question comes from the line of Jenny Xenos of Canaccord.
Jenny Xenos: Good morning, gentlemen. I have three questions please. The first one is regarding operating cost, they went up quite substantially this quarter. You mentioned that there were some onetime items and there is some discussion in the press release. I'm wondering, outside of those onetime items, what are you seeing in terms of trends, are you seeing pressures on your cost in different regions? And what should we expect in terms of operating cost in the second half of the year by region? You mentioned $5 in Columbia, I'm wondering about Brazil and Argentina and other areas that you operate in Chile as well. The second question is regarding Argentina, you mentioned that the new discovery de-risk are there oil prospect on the block? How many prospects have you identified and what is the size of these prospect? And the final question is regarding Peru, what is the status of your partner search process there? Thank you.
Andres Ocampo: Okay, great. Thanks very much, Jenny and good morning. In terms of operating cost and trends, it is explained on the release. The second quarter was affected by one-time items namely, we had some road maintenance and more than usual pullings [ph] in Colombia. We had in Chile we sold or we didn't sell the oil during the first quarter. So we have that as an inventory and it was sold in the second quarter. And the oil has bigger OpEx than the gas. So, that affected the mix, so temporarily increased the OpEx in Chile and we have some oil maintenance in Brazil. So, we don't except this to continue throughout the year. We expect the OpEx to normalize closer to the first quarter levels. We $5 in Colombia sounds reasonable for the full year and that's what we are targeting. In terms of trends, as you know we continue focusing a lot on reducing our cost in every possible way that we can. In terms of -- and we've been doing this I think I said this before we have been doing this over the last two years. In terms of Argentina Zubi.
Augusto Zubillaga: Hi, Jenny. In terms of Argentina, we identified three prospects at the beginning in the CN-V block. We drilled this, we were [indiscernible] and we still have two more prospects to be drilled. Before that we will be testing these --- we are preparing the early production facilities in the location. So, during October, we will start with the long-term test that we're going to take at least four to five months. So, we're going to understand more the size and behavior of that kind of reservoirs. And then with respect to Peru, we are -- we continue with our farm out process, that we received the couple of offers. We are working with potential partners on finalizing them and hopefully we'll have something to announce before the end of the year or we hopefully close on a partner before the end of the year. But for obvious reason I don't have a lot more to comment on that, but is going on the right trend.
Jenny Xenos: Right, I understand. But just to confirm once again, you mentioned that you actually received offers?
Augusto Zubillaga: That's correct.
Jenny Xenos: Fantastic, that's great news. Thank you.
Augusto Zubillaga: Thank you.
Operator: The next question comes from line of Nathan Piper of RBC.
Nathan Piper: Good morning, guys. I wanted to ask some broader questions about Block 34. In particular, what progress or what plans are in place to establish a pipeline connection from Block 34 to the rest of the infrastructure in the Llanos Basin? Secondly, what kind of capital production rate could you expect from that? And then I guess lastly just thinking about the 2P locations, drilling locations you might have across the block. I mean I realized that Jacana 9 hasn’t result so far, hasn't really set heather alight but I assume given the appraisal success more broadly across to Jacana, Tigana the 2P locations have gone significantly from the 157 that were outlined at the end of 2016?
Andres Ocampo: Thank you, Nathan. With respect to potential connection of 34 with central pipelines, we continue working on environmental approvals and working with our partner on deciding which would be the best way to approach this potential connection. So we haven’t made the final decision on it yet and we haven’t obtained all the approvals yet, but we are working on that and hopeful to have something soon. And once if we decide on that then the execution is something for next year. Then your second question…
Nathan Piper: Have you any idea on costs on the pipeline, I mean it won’t be a big figure but just to get a sense of scale?
Andres Ocampo: Yes, if we decide to build it out that could be something around $30 million to $40 million on a gross basis.
Nathan Piper: Thanks. And then sorry plateau production rate from the block?
Andres Ocampo: Second question was about production rates and potential plateau on the block.
Augusto Zubillaga: Okay, we are doing our own models, dynamic models and we can reach between 70,000 barrels per day to 100,000 barrels per day that’s the range we are doing that we are having in our models, in a 2P and 3P reserve basis. That’s according our D&M certification of 2016. And then can you repeat your last question about -- that was about the number of…
Nathan Piper: It’s kind of the same thing that just to try and understand the sustainability of some of those production rates, so there is something like 160 2P locations at the end of 2016 is it safe to assume despite the Jacana 9 result that number has gone up significantly already and has the potential to drill further through the course of 2017?
Augusto Zubillaga: Sorry but 157 2P locations that seems high, but I don’t know where that number is coming from Nathan.
Nathan Piper: A company called Parex [ph] you might have heard that.
Augusto Zubillaga: Okay. So I think we can say I mean this year we’re targeting a lot of our investments to continue operating and hopefully expanding our drilling locations. But I think this is something that we will need to confirm once we have our next certification. I don’t think there is something that we should throw out in a conference call like this.
Nathan Piper: Fair enough. From that GLJ report at the end of 2016.
Augusto Zubillaga: Right.
Nathan Piper: Thank you.
Operator: Our next question comes from the line of Joel Musante of Euro Pacific Capital.
Joel Musante: Good morning everyone. Most of my questions were answered, but I still -- I just have one on Jacana 9. It looks like that formation might have been displaced and you have identified the transitions on where I think across a lot of the fields in the past you said you didn’t really -- you hadn’t identified where that transition zone was. So I was just wondering if this helped you define where the transition zone is in the larger field.
Augusto Zubillaga: Right, thank you Joe. No I think what we said is this is a very large oil pool and we are seeing different compartments in that pool and with that we are expecting to see different oil water contact or different oil down pools in the different compartments. So Jacana 9 may have helped to define -- it hasn’t defined it yet, but I may give information to where the potential contact is for that specific compartment, but it doesn’t change anything with respect to the rest of the field.
Joel Musante: Okay, all right well that’s all I had. Congratulations on the impressive results.
Augusto Zubillaga: Thanks very much, Joel.
Operator: Our next question comes from the line of Ian McLean of A [ph] Capital.
Unidentified Analyst: Hi, guys again a number of questions have been answered. But, obviously the water production 9 is an issue that investors are focusing on, it’s very difficult on this front to predict the future, but what I want to understand is whether or not you are seeing in Jacana 5 which is 70 feet up dip, are you seeing a response which you expect in that well based on what you have seen in Jacana 9. So really are those two wells in communication and are they basically doing the same thing, you got 90% water in Jacana 9 is the water cut increasing at Jacana 5?
Augusto Zubillaga: Well, we did some several built up test in order to understand if it has connectivity within Jacana 9 and the other Jacanas. And we are seeing yes, response between Jacana 5 and Jacana 9, so they are connected.
Unidentified Analyst: Are you seeing increasing water cuts at Jacana 5?
Augusto Zubillaga: Also we are seeing some water in Jacana 5 as well, but not too much.
Unidentified Analyst: Okay. And is it still producing around 3,500 barrels a day.
Augusto Zubillaga: I don’t have in mind that number, but yes it’s around that number.
Unidentified Analyst: Okay, all right sounds like we just have to wait to understand what’s going on. Is there anything really that you can see -- I mean I guess the resolution on the seismic is not good enough, it’s really a question of testing the additional zones and trying to see how that well might perform in the future, it’s very difficult to guess I am thinking?
Augusto Zubillaga: Yes.
Unidentified Analyst: And just for clarification, what Nathan was referring to in the 157 locations, it is actually in the Analyst Day presentation for Parex, but that number includes blocks which you guys have no interest in. So Block 34 the numbers on 1P basis are 46 development locations on a 2P are 71 development locations and on a 3P are 88 development locations. I realize that you guys used a different reserve evaluator they used DLJ so again we will have to wait and see how things happen, but in general I would say you guys have increased your 2P area, so your 2P locations should go up.
Andres Ocampo: Great, thanks very much for that clarification, Ian. We did feel that number was a little bit off the charts, so thanks for clarifying that, that’s very useful and with those numbers we are not really that far with DLJ we are obviously using different reserve certificators but they don’t I mean they are not that different. So yes and we agree with your comments.
Unidentified Analyst: Sounds good. Thanks guys.
Andres Ocampo: Sorry just to confirm, the Jacana 5 is producing 3,400 barrels a day with less than 10% water.
Unidentified Analyst: Okay. Perfect, thanks guys.
Operator: Our next question comes from the line of Florian Alave [ph] of Deutsche Bank.
Unidentified Analyst: Hi, thank you for taking the question. Just had a couple of very quick questions, first of all, given you’re fully funded for the year and that potential for higher CapEx next year and the fact that you should exit the year under your incurrence covenant limits. I was wondering what would the overall plan continue to be, would you continue to fund any incremental CapEx program via the company’s cash flow generation, or I guess it depends on a growth prospects that you will be forecasting. The second question is, can you remind me again what amortization schedule is going to be for the $40 million Brazil loan? Thank you.
Andres Ocampo: Sure, thank you and good morning. The amortization on the Itau loan is $10 million each March and September is so $10 million next September, than March, September until March 2019. And then one of the things -- I mean we expect to continue being self-funding, our asset base is generating sufficient cash to fund this year what is the 20% to 25% production growth target, which is a pretty good target. And we expect that to continue being the case for next year. Obviously if we hit the discoveries that require more development capital, remain it more or we may change it but we don’t see that really happening, I think we are going to be self-funded for next year as well.
Unidentified Analyst: Great, thank you so much.
Andres Ocampo: Okay.
Operator: [Operator Instructions] At this time I'm showing no further question. I would now like to turn the call back over to James Park for any additional or closing remarks.
James Park: Thank you to everyone for your interest in GeoPark and your continued support of our company. We encourage you to please visit us at our operations and invite you to please call us any time for any information. Thank you and good day.
Operator: Thank you ladies and gentlemen. This does conclude today's conference call. You may now disconnect.